Operator: Greetings and welcome to the Piedmont Office Realty Trust First Quarter 2017 Earnings call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. Robert Bowers, Chief Financial Officer for Piedmont Office Realty Trust. Thank you. You may begin.
Robert Bowers: Thank you, operator. Good morning everyone. Welcome to Piedmont’s first quarter 2017 conference call. This morning we filed an 8-K that includes our earnings release and our unaudited supplemental information for the first quarter. This information is available for your review on our website piedmontreit.com under the Investor Relations' section. On today's call, the Company's prepared remarks and answers to your questions will contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters, which are subject to risks and uncertainties that may cause the actual results to differ from those we discuss today. Examples of forward-looking statements include those related to Piedmont Office Realty Trust’s future revenues, operating income, and financial guidance, as well as future leasing and investment activity. You should not place any undue reliance on any of these forward-looking statements, and these statements speak only as of the date they are made. We encourage all of our listeners to review the more detailed discussion related to risks associated with forward-looking statements contained in the Company's filings with the SEC. In addition, during this call, we'll refer to non-GAAP financial measures, such as FFO, and core FFO, and AFFO, and same-store NOI. The definitions and reconciliations of our non-GAAP measures are contained in the supplemental financial information available on the Company’s website. I'm sure a major topic on most listeners minds is the prior period non-cash restatement issue. We filed an 8-K this morning, that quantifies our calculation of this prior period adjustment and I encourage you to carefully review this information. It has no impact on the first quarter's results, which results were really quite good. I'll review this quarters financial results and the good will issue after Don Miller, our Chief Executive Officer, discusses some of the quarter’s operational highlights. In addition, we're also joined today by various members of our Management team, all of whom can provide additional perspective during the question-and-answer portion of the call. At this time I will turn the call over to Don.
Don Miller: Good morning, everyone, and thank you for joining us as we review our first quarter 2017 financial and operational results. This quarter’s financial results reflect the continued growth in FFO and NAV that we have been working hard to achieve for many years. As you saw in our leasing press release issued two weeks ago or in our SEC filings this morning, our leasing activity was typical of the first quarter of each year, totaling about 400,000 square feet. The activity was widespread across our portfolio covering all of our strategic markets, a large leases executed during the first quarter included in Washington DC. The GSA on behalf of the Social Security Administration commissioner signed an approximately 53,000 square foot ten year new lease at One Independence Square. In our metro New York market Futurewei Technologies, Inc. completed an approximately 38,000 square foot, 7 plus year lease renewal at 400 Bridgewater Crossing in northern New Jersey. And in the Boston region Ipswitch signed an approximately 33,000 square foot 7 plus year new lease at 5&15 Wayside Road in Burlington. Please review the more detailed listing of quarterly leasing activity in our previously issued press release for the quarter’s leases and this quarter’s supplemental information for more leasing information. Leasing economics were in-line with managements expectations, during the quarter. We saw an almost 5% cash rent roll up and a nearly 10% roll up on a GAAP basis. Generally fundamentals, across the eight strategic markets remained relatively steady. We’ve seen tenant activity modestly improve compared to fourth quarter of 2016, but that is not necessarily translated into an uptick in tenant’s actually entering new leases. Despite tenants cautious stance base rents have held and lease concessions have improved somewhat across the board but still vary by market with the lowest concessions being in Dallas and Atlanta and the greatest required in Washington DC and Chicago. As we noted previously our lease percentage was adjusted at the beginning of this quarter as we placed in service our two completed development projects 500 TownPark in Orlando and Enclave Place in Houston and our redevelopment project at 3100 Clarendon in Arlington, Virginia. The addition of these projects tolling approximately 700,000 square feet, revised our reported lease percentage to 91.5% from 94.2% at the end of last quarter. These projects will provide Piedmont with additional opportunities for lease-up and potential for growth as we move forward. Because of this adjustment to our overall occupancy, we believe it may be temporarily more meaningful to focus on the portfolio’s same store occupancy. On a same store basis are reported occupancy increased from 92.3% a year ago to 94.1% as of March 31 of this year primarily attributable to the leasing of many vacant spaces last year. Consequently our cash in GAAP basis same store net operating income increased 16.9% and 9.6% respectively for the first quarter compared to a year ago due to the commencement of new leases and the burn off of abatements over the past year and the recognition of a modest restructuring fee. Due to the timing of a large number of these lease commencements and the abatements burn offs early in the prior year, we expect overall same store NOI to be between 7% and 10% for cash and 5% and 7% for GAAP for the year. We will note that with many lease abatement periods coming to an end over the next few months, such as in our One Independence building, 500 West Monroe, 4250 North Fairfax, 500 TownPark and Piedmont’s CNL Center we expect without significant new leasing over the next few months that the gap between our economic occupancy and reported overall lease percentage to narrow to less than 5% during the second half of the year. Turning to the capital markets the asset transaction activity within our target markets is perhaps the biggest area where we saw a pause in the first quarter. We saw a very few strategic properties that were priced appropriately in our opinion. In fact we felt like the capital market showed a bit of strengthening in the office segment in the first quarter pondered the prevailing sentiment. We're glad to discuss this further during the Q&A portion of the call. On the disposition side, the market does present opportunities to monetize value previously created. To that end as previously reported, we did enter into a binding contract to sell Two Independence Square, our 606,000 square foot, 9-story, office building located in the Southwest submarket of Washington DC and which is headquarters location for NASA. The sale is subject to limited contingencies and we currently anticipate the transaction will close around mid-year. In summary, we believe the first quarter was a very positive performance for the Company, a period where we executed leases with accretive economics, where we also put in service quality development projects and where we further our strategy of refining our portfolio of assets by timely commencing the disposition of a large fully leased non-strategic asset. Obviously this disposition in conjunction with our plan to be a net seller during the year will have an impact on our reported numbers later in the year, therefore I will now turn the call over to Bobby to review our first quarter financial results and the outlook for the rest of the year. Bobby.
Robert Bowers: Thank you Don. So I’ll discuss some of the highlights for the quarter. I encourage you to please review the 8-K, the earnings release and supplemental financial information that was filed this morning for more complete details. As Don, noted earlier, this quarters results benefited from meaningful cash flow growth from the commencement of new leases that has occurred over the past year. This phenomenon and then to a lesser extent the net contributions from capital market activities and a $1 million lease restructuring fee has had a considerable positive lift in the comparative financial results between the first quarter of 2017 and the first quarter of 2016. For the quarter ended March 2017, we reported FFO and core FFO of $0.45 per diluted share up $0.04 over the same metrics a year ago. AFFO was approximately $54 million for the quarter up 24% compared to the first quarter of 2016 and well in excess of the first quarter of 2017 dividend. With no new financing activity during the quarter our debt to gross assets ratio remained around 38% as of quarter end. The growth in same store and portfolio wide operating results contributed to improved core EBITDA. Therefore our average net debt to core EBITDA ratio decreased to 6.1 times for the first quarter of 2017. As compared to 6.6 times a year ago and 6.4 times in December of 2016. We had approximately $277 million of capacity remaining on our $500 million line of credit at quarter-end. Don mentioned the sale of Two Independence Square, with the gross selling price of $360 million we plan to use the proceeds from the sale to further strengthen our balance sheet, by paying down our line of credit and paying off a $140 million 5.76% mortgage, which is eligible for prepayment without penalty in August. This will free up capacity to fund potential strategic acquisitions, to return capital to our shareholders and to pursue share repurchase opportunity should they arise. To sell a such a large asset will obviously have an impact on future quarterly earnings to the tune of approximately $0.02 of core FFO per diluted share per quarter. Depending upon the timing of the net transaction activity, that we do in the capital markets area where the remainder of the year this large disposition could cause the upper end of our guidance range for 2017 to move down to $1.76 per diluted share. The non-cash restatement issue that we will discuss next relates to a GAAP rule that was changed prior to this year-end, I mean prior to this year. And has no impact on future financial guidance. We restated the GAAP basis information, included in our financial supplement and earnings release for prior periods related to recorded goodwill, which originated on our books from the purchase of the management companies. In accordance with GAAP rules beginning in 2010 and a portion of our goodwill, should have been allocated to each asset disposition that occurred between December 2010 and September 2016 in accordance with the Accounting Standards Codification 350 that relates to business combinations. During this particular period building dispositions were considered dispositions of businesses according to the standard. This change had no impact on the current quarter nor last year's first quarter net income and this non-cash adjustment has no impact on current nor any previously reported FFO, AFFO or cash flow. We plan to file within a week an amended 10-K and the first quarter 10-Q, which will reflect this prior period change that is quantified for you in today’s 8-K filing. I would now like to turn the call back over to Don for some additional comments.
Don Miller: Thanks Bobby, I wanted to remind everyone of some organizational changes taking place here at Piedmont over the next several weeks before we get to Q&A. During the fourth quarter, we announced that Ray Owens our Chief Investment Officer has decided to retire on June 30, this year. Ray and I worked together closely for 14 years. Together we've taken Piedmont’s footprint from a collection of assets in 35 cities to cohesive superior office provider within our targeted submarket in eight major markets. I will miss our daily interaction but will continue to value his calm counsel and friendship. Succession planning for each of our major officer roles is an important part of senior management and the Board’s responsibilities, we're pleased that Brent Smith who has worked as either an advisor to Piedmont or Director for Piedmont for the past 10 years has already assumed the Co-CIO role with Ray and will take on the full CIO role starting July 1, Brent is working diligently to further our strategy and continue to grow shareholder value for all of us. With that I will now ask our operator to provide our listeners with instructions on how they can submit their questions. We will attempt to answer all of your questions now or will make appropriate later public disclosure if necessary. Please try to limit yourself to one follow-on question so we can address as many questions as possible. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Michael Lewis with SunTrust Robinson Humphrey. Please proceed with your question.
Michael Lewis: Good morning thank you. Just on the accounting issue I appreciate all the detail there. May be if you just walk us through kind of why or how that happened, was it a systems issue, was the rule misinterpreted and how did that happen and then how did you catch it.
Don Miller: Never thought that question you could ask Mike. Obviously we take these things extremely seriously, it's pretty discouraged, we're pretty discouraged to have this event come up, because we pride ourselves so much in trying to get these things right all the time. And as a result we want to try to be as open and disclosusive as possible. Obviously we've spent a lot of time over the last seven years of being public to try to be as transparent and open disclosure as we possibly can. So we are not going to change, and now we've got a problem we are not going to change that. So let me see if I can give you a little bit of color commentary and I am sure Bobby can provide more technical answer to that. Prior to 2009 goodwill and REIT balance sheets wasn't allocated to the basis of individual properties when they were sold. But starting in that year GAAP required REIT to start treating individual real estate properties as a business, which in turn requires allocation of goodwill on a proportionate basis at the time of sale. Interestingly FASB reversed course last year and now most individual asset sales no longer meet the definition of a business. We adopted that revision incidentally on October 1, of last year. However previously since our goodwill was generated by the acquisition of two management companies, we didn’t believe that the goodwill allocation would apply to the sale of real estate properties. Very recently we sort of identified that this error was regarding treatment for a period from 2010 to about 2016, given that the issue is non-cash, given that it only impacts GAAP numbers, does not affect key non-GAAP financial metrics, we decided it was better to address the issue immediately. Bobby would you add anything to that in terms of color.
Robert Bowers: If you don't mind Mike you asked how did this come up. It came up during the first quarters review. We have a really good relationship working with B&Y and together we've worked with them so that we're able to quickly address this. And what we thought was important, quantify that for our investors to know what the extent of the issue it was. So that's why I really encourage you to look at that 8-K which details that by year. Now we are reviewing it, you asked our internal control procedures, with the auditors and our Company personnel to make sure something like this doesn't happen. We had in fact reviewed that guidance and as Don has alluded we felt that it didn't apply because our goodwill was associated with the purchase of a management company not real estate. This was wrong from reviewing the guidance more carefully. But because the standard did change I want to emphasize a couple of things, this does not apply to the current period or future periods. It only relates to prior periods, also it's a non-cash item, so it never affected FFO or AFFO. And frankly it doesn't impact our guidance going forward. We believe this is it that there are no other issues to be addressed this time.
Michael Lewis: Okay, good that's really helpful. A question on the guidance right, so the Two Independence sale is not in there. You said it would bring the high-end, down to $1.76 I believe, I don't think you said anything about the low-end. Why not put it in there now since it seems like that's happening and then on the flipside of that, is there no offset there because – in other words were you expecting 10% same store NOI growth in the first quarter or are you kind of running ahead on the operations part of the business relative to the guidance after the first quarter?
Don Miller: Two good and fair questions Michael. Let me see if I can try to address both of them. We came out with a $1.70 to $1.80 initially recognizing that we didn't know if we were going to have success in selling Two Independence or not. And I think we were fairly – hopefully we are fairly clear about that in the last quarter's guidance. And so we set $1.70 to $.180 recognizing that if we held Two Independence for the entire year and didn't have a lot of other transactional activity one direction or the other that we had the potential to still hit the $1.80. The reason we're not formally changing guidance from a $1.70 to $1.80 down to a $1.70 to $1.76 there are limited contingent fees associated with the transaction they are unusual. They are related to federal regulations associated with the nature of the tenant being NASA and the nature of the buyer being foreign. And so we just want to make sure that we get through those issues before we sort of change guidance formally and then get whipsawed because the deal has move forward or something like that. So we just want to be – we are still very confident, it will but we just want to make sure that we don't get whipsawed on that issue. As it relates to the first quarter, we did outperform nicely in the first quarter relative to our own economics. As you can see in our same store cash numbers, same store GAAP numbers they're well in excess of what we anticipate seeing for the rest of the year are partly because we have some leases expiring and partly because Two Independence have moved out of the portfolio. At the same time we just, we also hit the ball out of the park in the first quarter from a standpoint of, we generated some leasing activity that allowed us to create a little bit of terminations income or restructuring however you want to call it, or for leases with space that is sustained lease now because we're able lease the space and get a tenant – a termination payment from the tenant leaving. So that created about $1 million worth of uplift. And then frankly the operating expenses outperform pretty dramatically because we had a mild winter and so our northeastern properties, didn't have much noise, snow removal and utility costs were in-line and property taxes stayed below budget. So all of the above were really good results.
Michael Lewis: Okay, if I can ask just one more. Don in your remarks you said you felt like the capital markets showed some strength counter maybe to what people thought and then you actually said I think we could discuss it more in the Q&A, so I’ll buy it let’s discuss that a little bit what causes you to say that?
Don Miller: I'll let Ray or Brent jump in as well but I think what we're seeing in the first quarter was a lot of the properties that we felt like were comparable properties that we were looking at last year, which was driving a struggle to get enough bids to make a market for, seemed to get a lot more activity on those same quality of properties in the first quarter, and as a result we saw pricing what we felt like be even stronger in the first quarter of 2017 than we saw at any point in time during 2016. Now that is not necessarily across the board in every market but that's the most of the markets, the eight markets that we operate within. And so, I think we would tell that we’ve seen a – we think we've seen a strengthening for the quality of product that we own and want to buy, relative to what we saw in 2016 and as a result, sort of price this out on a hand full of deals we would have liked to move on.
Michael Lewis: Okay.
Robert Bowers: Yeah certainly Mike, I think to echo what Don was saying, we continue to try to be very focused and strategic in the assets that would fit our portfolio, strategy and the ones that we really felt had a fit, we did see a much more interest and much deeper buyer pools for those quality of assets in those submarket and frankly they get beyond pricing levels that we felt comfortable moving on.
Brent Smith: And finally, I think I'd add too Mike. We've also seen an increase in the number of foreign buyers in these 18-hour cities, into some note region particularly as they continue to chase yield away from some of the gateway markets as well an increased number of value add private equity players who are washed with capital and are chasing more core plus deals, continuing to drive strong prices for assets that are well located and then Don mentioned the quality that we’d like to go after.
Michael Lewis: Thank you.
Operator: Our next question comes from the line of Jed Reagan with Green Street Advisors. Please proceed with you question.
Jed Reagan: Hey guys good morning maybe just following up on that last point in question there, I mean would you attribute sort of the increased investor demand and bidding tends I mean are those investors that maybe have just been on the sidelines temporarily for maybe a latter half of last year just continue waiting to see how the dust is going to settle on some of the macro issues, or I mean are there kind of new buyers all together that are hitting the market and paying more aggressive prices.
Don Miller: While clearly what we saw last year anyway Jed and the stuff that we sold was a fairly limited buyer pool and most of those buyers were coming from foreign countries. And so I think virtually everything we sold in 2015 and 2016 were foreign entity buyers. In the last quarter, we've seen a lot more domestic players particularly leverage domestic players, it seems as though the lending markets have strengthened not for new construction but for existing income acquisitions. It seems like they've strengthened a bit and the activity level has picked up as result, so it seems to me anyway and I don't know if Brent or Ray will agree, that's really the domestic buyers have come back into the market in the first quarter more than we saw at all in 2016.
Brent Smith: Yeah I would echo that Jed, because what we have seen is capital being raised by the domestic, whether they’d be private equity or even some of the institutional guys that might have taken a pause last year, they’ve got a lot of capital that they’ve either raised or have been sitting in the queue. And so now they're now instead of sending that money back to their investors or having to deal with that type of situation they are being a little more aggressive in placing that capital.
Jed Reagan: And you feel like this all kind of resulted in a tangible sort of upward shift in pricing or maybe just kind of affirming.
Brent Smith: Somewhere between the two, maybe I mean it was tangible move-up in price. I don’t know whether I would call it a repricing the market or anything like that. But it just it seems like deals – I will make a number of it. Lets say a deal that we thought might go for $200 a foot last year might have fallen back to, when we got it, it is at $180 right, this year that $200 a foot deal that we think might go off of that number seems to be poking up to $210 or $220 and we are just not competitive on it. I know the example I just used is a pretty wide spread and maybe the reality isn’t quite that wide. I hope that you understand the point.
Jed Reagan: Sure, okay that is helpful. And just on the cash same store NOI guide, I think you were five to eight last time. Shifted that up, I think you ran through couple of the drivers behind that. How much did the DC sale, it sounds like previously that was in the guidance now, not in the guidance how much was – of that shift is attributable to the just sort of the changing same store pool I guess.
Robert Bowers: It's really no contribution one way or the other. It is neutral to the guidance.
Jed Reagan: Okay, alright, that is helpful. And then maybe just last one for me, what if you can just give some comments on activity, you're seeing in the markets in DC and Houston. Just for some of the vacancies you have there and how you’re feeling about those kind of those markets currently.
Don Miller: I would say Houston saw no big change there is. A one or two things that we are running around out there that you know there's always the possibility you can knock it off, but it is not a deep pool of leasing activity in the West Houston – in the quarter at least for larger tenants. And so I'm not sure if we will have changed our guidance on that at all. DC – and I think Bob Wiberg is on the phone, I would say DC has slowed, a little bit the activity level is still decent but the larger tenant activity seems to be slowing a little bit and we've got three really good pieces of real estate to lease. And so if there's activity out there we feel very confident we're going to capture our share. So the activity does seem to be a little slower. Bob would you would you concur with that.
Robert Bowers: Yeah I would agree it has been a bit slower but I think in the backdrop the employment numbers are still good. The job growth is still really strong. So we hope to see more coming through the pipeline. And it's been interesting, so far there is quite a bit activity at a couple buildings and some of the other ones are seeing a little bit less. So it's a little spotty that way depending on geographies and sectors.
Jed Reagan: And you think a budget resolution here in the near term, provides kind of a pop and gets get people off to sidelines.
Robert Bowers: Well I think there was definitely concern about the proposal for cutting a lot of federal budgets but at least with the bill that passed finally through September there really was a pretty minor changes in funding. So we don't see any immediate impact on the horizon.
Jed Reagan: Okay, great thank you guys.
Operator: [Operator Instructions] Our next question comes from the line of Anthony Paolone with JP Morgan. Please proceed with your question.
Anthony Paolone: Thanks and good morning. Just to start following up to Jed’s question on Houston and DC. Can you go through some of your other major markets and give us an update on how leasing trends look.
Don Miller: I’d be glad to Tony, Atlanta and Dallas, I would say are the places we are seeing the greatest level of activity. Atlanta in fact I wish we had some space available because we're seeing a lot of really good activity at all of our projects and just don't have the space to accommodate it. We're virtually full across our portfolio here, I would say we're upper 90’s. Dallas a similar situation obviously, we have some space coming back to us in Las Colinas next year and we anticipate that the activity levels stay strong. And that should be very positive for us in Dallas. Our into town buildings there are virtually full as well. Orlando I would say is a little slower than we would like to see and slower than we expected given the very positive job growth there. But we're seeing I would say steady flows of activity in Orlando, Boston has been – continue to be very strong, as seen in the quarter we got several nice deals done at 5 and 15 wayside and I think the activity level still seems to be fairly good there. I'll let Brent. I’ll skip over New York and let Brent Smith address that because he is in the room. Chicago and Minneapolis I think are historically very similar to where they usually set, their very steady levels of activity 500 West Monroe is largely leased up now. Our biggest concern, if we have one is sort of suburban Chicago and what level of activity we’ll see out there given that we have some space to lease. And then Minneapolis we're largely full and the activity levels pretty steady. So I wouldn’t say it's fantastic, but it's not quiet either. So fairly good. Brent you want to comment on New York.
Brent Smith: Sure Don thanks. Again so we focused downtown primarily and as we've seen that continues to be a good opportunity for us with our assets and where they're priced in the market to capture our own fair share of the creative class tenants that are leading Midtown South looking for rents that are probably $20, $15 less than what they're paying or more in Midtown South and so we continue to capture that creative class tenant. The other benefit we have is as we look ahead to the New York city and New York state roll there is not a lot of large blocked space as well in lower Manhattan which is typically where those tenant fees will reside at particularly at our price point. So we feel pretty good about that dynamic as well.
Anthony Paolone: Why don’t you start with what went on in Bridgewater, New Jersey real quickly.
Brent Smith: In Bridgewater, where we have most of our vacancy, we still see excellent activity, I think that just goes to that the quality of the asset and the it’s location particularly with a significant amenity base directly adjacent to the property has resulted in a good bit of deal flow across a number of sectors, whether particularly pharmaceuticals, legal and technology as well as. So that building has a headquarters for Brother's North American [indiscernible] add to the breadth of that building. So good activity in New Jersey as well as lower Manhattan probably it didn’t reflect this issues that you continue to kind of potentially hear about from Midtown.
Don Miller: But I think admittedly the point on Bridgewater is I think it is unique to that asset more so than it is the broader marketplace.
Anthony Paolone: Okay, got you, thanks for that run down, my second question is I am looking at pages six and seven of the supplemental where you lay out some of the bigger expirations that are coming and then also some of the leases kind of on the sidelines that are waiting to commence. If I net those two do you think – is there a way to quantify what that earnings gap might be that, that I guess would be to the go get from a leasing point of view over the next 18 months.
Don Miller: Fair question Tony, yes there certainly is, we haven't released that and don't have that number right in front of us, but we did calculate that and if that made some sense to how we could disclose something along those lines. Obviously the other aspect of that is we would want to make sure we somehow give credit to whatever leasing we get done between now and middle of next year of sizable chunks that would contribute to that sort of offset as well. Because if you were just to look at the top left the bottom, you're not really giving any credit to the fact we may get leasing done between now and then.
Anthony Paolone: Maybe I’ll ask sort of it differently for 2017 in your guidance. How much I guess speculative leasing or just how much of that do you need to do this year that's still out there to go there.
Don Miller: Core FFO virtually, were virtually done. Because even if we were budgeting leasing for the remainder of the year, which we have some more often than not, there will be free rent on the front end of that and so that will spill into next year. So with very little cash impact to either cash same store NOI or AFFO at this point but there is very modest less than a penny probably of remaining FFO to achieve based on leases to accomplish of the reminder of the year.
Anthony Paolone: Okay, great that is fine thank you.
Don Miller: You are welcome.
Operator: Our last question comes from line of John Guinee with Stifel. Please proceed with you question.
John Guinee: Okay, let me – seven years ago the goodwill was $180 million, which was basically $180 million to purchase a worthless management company owned by Leo Wells. Essentially to get Leo to go away and for you guys to run this show. And then you're telling us that you and Ray worked together for 14 years where you went from 35 markets to 8 markets. Didn’t the first seven years – wasn't that building it to 35 markets and then the next seven years paring it back down to eight markets.
Don Miller: No John it wasn’t. But I'm not sure – I'm not sure what the purpose of trying to revisit history is would you try to seem do on every single call that has nothing to do with what's going on with our business today. So let's talk about our business today John.
John Guinee: All right all my questions have been answered. Thank you.
Don Miller: Welcome.
Operator: Thank you.
Don Miller: Okay, everyone thank you very much for the participation of the call. We obviously look following up with those of you who would like to talk further about anything going on within the business or our release of information last night. And we look forward to sharing that information with you. Thank you very much.
Operator: Thank you. This concludes today's teleconference you may disconnect your lines at this Thank you for your participation.